Operator: Good morning, ladies and gentlemen, and welcome to CVG's First Quarter 2025 Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the call over to Mr. Andy Cheung, Chief Financial Officer. Please go ahead, sir.
Andy Cheung: Thank you, operator, and welcome, everyone, to our conference call. Joining me on the call today is James Ray, President and CEO of CVG. This morning, we will provide a brief company update as well as commentary regarding our first quarter 2025 results, after which we will open the call for questions. As a reminder, this conference call is being webcast and a Q1 2025 earnings call presentation, which we will refer to during this call is available on our website. Both may contain forward-looking statements, including, but not limited to, expectations for future periods regarding market trends, cost-saving initiatives and new product initiatives, among others. Actual results may differ from anticipated results because of certain risks and uncertainties. These risks and uncertainties may include, but not limited to, economic conditions in the markets in which CVG operates, fluctuations in the production volumes of vehicles for which CVG is a supplier, financial covenant compliance and liquidity, risks associated with conducting business in foreign countries and currencies and other risks as detailed in our SEC filings. I will now turn the call over to James to provide a company update.
James Ray : Thank you, Andy. I'd like to turn your attention to the supplemental earnings presentation, starting on Slide 3. Our first quarter results reflect the strategic steps we have taken to refine our business model over the last several quarters. More recently, we completed the shift to our new segment structure, which has provided enhanced clarity and focus within each business unit, while more closely aligning CVG with our customers and end markets. Enhancing that connection with our customers is critical, especially in the current market conditions. Our 3 operating segments, Global Seating, Global Electrical Systems and Trim Systems and Components are now better positioned to serve our customers in a lower cost structure. We have seen early benefits from this resegmentation, and we continue to believe this structure will accelerate the operational momentum we have created year-to-date. Also highlighted on this slide is the 10.8% adjusted gross margin we achieved during the quarter, which is a 240 basis point sequential improvement compared to Q4 2024. This improved profitability was largely driven by the operational efficiency initiatives we executed and have spoken about previously, including, but not limited to, the divestiture of noncore businesses as well as the conclusion of one-time costs from last year, including outside consulting expenses. We expect our gross margin to be supported by further operating leverage going forward as we continue to benefit from the strategic actions taken in 2024. Along with improved profitability, we also delivered an almost $18 million improvement in free cash flow compared to last year. As we alluded to last quarter, working capital management is a critical focus for us this year, and we expect to reduce our working capital closer to historical levels over the course of this year with a specific focus on inventory. I will provide more detail regarding our gross margin and free cash flow performance in a moment, but our strong performance on both helped to drive a net debt reduction of $11.7 million and a gross debt reduction of $18.1 million in the first quarter. Before I move on, I'd like to comment on our decision to discontinue reporting new business wins. Given the current macroeconomic environment as well as our customers' challenges in predicting future program ramps, we don't believe we have the necessary clarity to accurately predict the timing and magnitude of total wins, particularly as to when they will begin flowing through to our revenue. For these reasons, we believe our annual guidance is the best way to contextualize and model our future results. Importantly, while we will not be providing forward-looking projections for new business, this does not mean we are any less focused on pursuing and securing new business awards. This remains the lifeblood of this company, and we are still seeing a robust pipeline of new business opportunities. Turning to Slide 4. I want to take you through the sequential gross margin improvement we saw in the first quarter. Reflecting back to the strategic actions taken in 2024, we've been focused on reducing freight, labor and overhead costs. In particular, we reduced our reliance on expedited freight, optimized our terms with suppliers and improved our lead times and order quantities. We are also flexing our direct labor to align with any customer volume changes and continue shifting our production to lower-cost facilities. We're also addressing plant salaries and our new segment alignment allows for a more optimized overhead structure. As evidenced by the margin improvement, our focus on operational efficiency improvements as well as our restructuring and footprint rationalization efforts are clearly paying off. This focus on improving our operating model is clearly helping our performance in this lower demand environment, but also positions us well into the eventual end market recovery. We believe we have the right approach for CVG to drive accretive growth, accelerate margin expansion, increase our capital efficiency and ultimately enhance shareholder value. Now moving to Slide 5. I'd like to revisit a graphic we shared in our Q4 earnings call. While we believe our strategic portfolio actions position us better for the future, they led to cash flow headwinds in 2024, namely through cash burn in our discontinued operations, restructuring spend and inventory build. We mentioned on the Q4 call that we expected each of these 3 headwinds to ease and in some case, reverse in 2025. Considering the decline in market demand, I'm pleased to report solid progress in each area. In the first quarter, our discontinued operations were net cash generative. We also had minimal restructuring spend in the quarter at less than $1 million. And finally, we saw a $5 million improvement in inventory versus the end of the year. Improvement in these 3 areas helped drive free cash generation of $11 million in the quarter and positions us well for further improvement in this key metric throughout 2025. With that, I'd like to turn the call back to Andy for a more detailed review of our financial results.
Andy Cheung: Thank you, James, and good morning, everyone. If you are following along in the presentation, please turn to Slide 6. Consolidated first quarter 2025 revenue was $169.8 million as compared to $194.6 million in the prior year period. The decrease in revenues is due primarily to a softening in global construction and agriculture end markets as well as North American Class 8 truck demand. Adjusted EBITDA was $5.8 million for the first quarter compared to $9.7 million in the prior year. Adjusted EBITDA margins were 3.4%, down 160 basis points as compared to adjusted EBITDA margins of 5% in the first quarter of 2024, driven primarily by lower volumes, but offset by reductions in SG&A expenses. Interest expense was $2.5 million as compared to $2.2 million in the first quarter of 2024. The increase in interest expense was primarily related to higher effective interest rate during the current period. Net loss for the quarter was $3.1 million or a loss of $0.09 per diluted share as compared to a net income of $1.4 million or $0.05 per diluted share in the prior year. Adjusted net loss for the quarter was $2.6 million or a loss of $0.08 per diluted share as compared to adjusted net income of $2.8 million or $0.08 per diluted share in the prior year. Net loss and adjusted net loss were impacted by higher noncash tax provision driven by the geographic mix of income in the quarter. Free cash flow from continuing operations for the quarter was $11.2 million compared to negative $6.5 million in the prior year. The free cash generated in the quarter was supported by better working capital management and reduced capital expenditures. At the end of first quarter, our net leverage ratio calculated as our net debt divided by our trailing 12-month adjusted EBITDA from continuing operations was 5x. As a reminder, our amended credit agreement calculates the net leverage ratio slightly differently, excluding certain items related to our strategic actions in 2024 that negatively impacted adjusted EBITDA. Based on that calculation, we remain below the net leverage covenants set forth in the credit agreement. Moving to the segment results beginning on Slide 7. Our Global Sealing segment achieved revenues of $73.4 million, a decrease of 9% as compared to the year ago quarter, with the decrease primarily driven by lower sales volume as a result of reduced customer demand. Adjusted operating income was $2.7 million, a decrease of $0.1 million compared to the first quarter of 2024. While operating income was negatively impacted by lower sales volume and increased freight costs, we saw an improvement in adjusted operating income margin, thanks to the actions we took in 2024 to address our cost and manufacturing footprint. Turning to Slide 8. Our Global Electrical segment's first quarter revenues decreased 14% to $50.5 million compared to the year ago quarter due primarily to lower sales volume as a result of decreased customer demand. Adjusted operating income for the first quarter was $0.2 million, a decrease of $1.3 million compared to the prior year, primarily attributable to the lower sales volumes and unfavorable foreign exchange impacts. We took further restructuring actions focused on reducing SG&A and indirect headcount as we look to rightsize staffing levels in this business to align with the current demand outlook while shifting production to lower-cost facilities. We remain focused on global electrical as a core business to CVG, and it remains a focal point for our team as we continue to reduce debt, improve free cash flow and win new business at higher margins. Moving to Slide 9. Our trim systems and components revenues in the first quarter decreased 17% to $45.9 million compared to the year ago quarter due to lower sales volume as a result of decreased customer demand. Adjusted operating income for the first quarter was $1.6 million, a decrease of $3.1 million compared to the prior year. The decrease is primarily attributable to lower sales volumes and higher freight costs. We believe we are working through the last of our operational inefficiencies in this segment and that we are positioned for improved performance moving forward. Along those lines, we did see strong sequential gross margin improvements in this segment, up 290 basis points compared to the fourth quarter of 2024 as our remediation efforts are stabilizing operations and should lead to improved operational efficiency and financial performance. That concludes my financial overview commentary. I will now turn the call back over to James to cover our market outlook, key strategic actions being taken, and our updated guidance.
James Ray: Thank you, Andy. I will start with our key end markets outlook on Slide 10. According to ACT's Class 8 heavy truck build forecast, 2025 estimates imply a 23% decline in year-over-year volumes. ACT forecasts a 19% increase in truck builds anticipated in 2026. Despite the weakness projected in 2025, we expect to see a strong rebound in builds in 2026 as the industry prepares for an update in emissions regulations in 2027. We understand the EPA is evaluating a potential delay or pushback of the greenhouse gas Phase III regulations for commercial vehicles which would likely change the pre-buy dynamics ahead of the expected regulation change date in 2027. However, we believe this would ultimately represent a timing shift as fleet operators still need to replace equipment on a regular basis. Moving to our construction and agriculture market outlook. Based on recent commentary and outlooks from our customers and key market players, we now expect the construction market to be down approximately 5% to 15% and the agriculture market to be down in the same range as higher interest rates, weaker housing starts, slower commercial real estate activity and lower commodity prices continue to weigh heavily on demand. Despite market softness in these markets, which impact our Global Electrical Systems business, we continue to remain optimistic about the long-term potential of both construction and agriculture markets as we see ongoing replacement needs and underlying secular trends driving a recovery in these markets in 2026. Turning to Slide 10. I'd like to highlight some of the actions we have and are currently taking to mitigate the impact of tariffs and broader macroeconomic headwinds. First, the strategic portfolio actions we took in 2024 to lower our cost structure are already helping to lower decremental margins and position us well to grow our earnings power as end market demand recovers. Second, we remain focused on driving improved cash generation and aligning our SG&A structure with our current revenue base this year. Specifically, we expect a 50% reduction in planned capital expenditures this year, along with $20 million of working capital reduction focused primarily on inventory. Through the first quarter, we realized $5 million in inventory reduction. We also expect $15 million to $20 million in cost savings this year, which should drive incremental margin expansion as our top line returns to future growth. Third, we are in constant communication with our customers, which has improved our line of sight to production schedule changes and will allow us to implement corresponding cost actions in the event of future changes. Furthermore, as soon as the initial round of tariffs was announced, our teams immediately took a number of actions in an effort to mitigate potential impacts. We are actively negotiating price recovery terms with our customers while building contingency plans to create flexibility across multiple scenarios, all with the end goal of securing our business competitiveness and meeting our customers' needs. In addition, we are diligently assessing our relationship with suppliers, including evaluation of reshoring and near-shoring opportunities to mitigate the potential impact of tariffs. Turning to Slide 12. I'll share several thoughts on our updated outlook for 2025, which reflects the current estimated impact of tariffs, trade policies and economic uncertainty as well as the aforementioned actions that we are proactively taking in this current uncertain environment. Reflecting recent macroeconomic developments, prevailing truck build forecast and ongoing weakness in construction and agriculture markets, we are lowering our quantitative annual guidance for revenue and adjusted EBITDA and tightening the revenue range. We're also introducing a free cash flow metric to our guidance this quarter. Given current demand pressures, we are adjusting our full year 2025 revenue guidance range to $660 million to $690 million, which is down from $670 million to $710 million. We are also lowering our adjusted EBITDA guidance expectations to the range of $22 million to $27 million for 2025, which is down from $25 million to $30 million. Based on this updated outlook, we still expect EBITDA growth and margin expansion compared to 2024 at the midpoint of the ranges, supported by our focus on SG&A costs. The lower end of our guidance ranges encompasses a scenario where the EPA pushes back the 2027 emission standards for Class 8 vehicles. We expect to build on our free cash flow progress, generating at least $20 million of free cash flow in 2025, which will be used to pay down debt. Our focus on reducing working capital and lowering capital expenditures underpin this outlook. Net leverage is expected to decline throughout 2025 and 2026 as we work toward returning to our targeted 2x level. With that, I will now turn the call back to the operator and open up the line for questions. Operator?
Operator: [Operator Instructions] Your first question comes from the line of Joe Gomes from NOBLE Capital.
Joe Gomes: So nice work again on the cost improvements and everything. And just on the gross margin improvement. I wonder if you could just remind us in a normalized environment, how high you think gross margin could be?
Andy Cheung: Yes, Joe, we talked about -- overall, we see the entire business get to a high single-digit EBITDA margin, and that would involve us getting to about 15% gross margin. I think right now, we still have a long way there. But as you pointed out, that with 15% we will likely be returning to a more normalized end market demand plus some of our own self-help. So as you can see in Q1, obviously, the revenues are pretty low in the quarter, but we demonstrated that we were able to pull through some of the self-help. And then as you continue to see through the rest of the quarter, hopefully, both the self-help and the end market recovery will start to show more towards the end of this fiscal year.
James Ray: Yes, Joe, I'd also add us being able to anticipate, plan and manage the headwinds of tariffs, inflation, global freight costs and those things, we feel like we have line of sight to mitigating actions and our ability to flex quickly depending on what the end outcome is in those areas will give us an ability to continue to drive expansion in gross margin.
Joe Gomes: Okay. And then just on the end markets, you guys can give us a little bit more color. I mean, I know you guys quote the ACT truck build outlook. I also look at some other stuff. If you look at FTR for Class 8 orders in April, they were down to levels of May 2020, which was during COVID when everything was shut down. Year-to-date, orders are down 30%, which if I'm looking at that type of -- those types of numbers, it would suggest that it's going to be very difficult to hit the ACT numbers of build numbers in 2026. And that's without -- if the EPA decides to pull the deadline of '27 for new admissions, which would add another wildcard. And then if I look at the construction and ag markets, if they're -- that's accurate, they're going to be down 5% to 15% each this year. And that's over 2 years of declining markets there. And just trying to get a better handle. I mean, that's -- those segments account for the vast majority of your business at this point. And I'm just trying to get a better handle on how we're going to get through that. And like -- have you ever seen these types of downturns previously and the length of these downturns because they just seem to be extended, especially in the construction and ag markets. Any additional color you can give is greatly appreciated.
James Ray: Yes, that’s a really good question, and thanks for asking because I think what you’re seeing is part of the result of the actions we took last year, but also improving our capability and flexibility as an organization. So when we look at our cost structure, we look at the low end of guidance and comprehend some of the elements that you had mentioned, we feel that we have adequate plans in place not only to take cost structure actions as well as discretionary spending in the SG&A line to maintain EBITDA and cash at the lower end. We also have the capability to – whenever the markets return, we will have the appropriate capacity to respond, but we’re surgically removing costs, fixed and variable as we expect these headwinds to continue. So I haven’t experienced in my overall professional experience, this type of year-over-year 2 years in a row stack downturn. But we took some tough measures last year, which created some inefficiencies. And now that they’re stabilizing, we still see line of sight to continued opportunity for gross margin expansion even in the headwind of these market dynamics. And you’re seeing that flow through in our Q1, and we expect throughout the year to continue to harvest those opportunities to maintain our updated guidance range with consideration of EPA pushout, with consideration of continued end market demand in ConAg. And some of the success will determine – will be determined by our ability to mitigate the end result of tariff actions, working with our customers and suppliers as well as our commodity prices and our footprint on nearshoring, onshoring resourcing to continue to improve our capital utilization as well as be prepared to support customer demand. And then finally, just the – what I would call customer intimacy and understanding what some of their leading indicators are as they continue to flex their build schedules and modulate their output. The order book, I think the end markets based on what we hear from our customers, is people are pausing, organizations are pausing, whether it’s fleets or ConAg dealers to see where the macroeconomic situation will end up with respect to interest rates and the other elements that we have discussed in the call. And us having that view helps us to continue to align our flexing to be able to hold our margins.
Operator: Your next question comes from the line of Gary Prestopino of Barrington Research.
Gary Prestopino: A couple of questions here. First of all, as I look back on the stats that you gave for Class 8 truck build when you reported in March. ACT was at, I believe, 316,000 of production. Now it's down to 255,000, and that's just really in a 2-month span. So is that a reaction to the possibility of the EPA considering delaying some of these emissions issues? Or is that just really a function of that they felt that the economy is really slowing dramatically, and this is where they think production is going to be. I mean it just seems like in a 2-month period, that's a huge gap down.
James Ray: Yes, it is. And based on information we received from our customers and also that they've presented publicly, their end market demand is somewhat in a wait-and-see mode with respect to tariffs. Freight rates have gone down. And I think some of that's with respect to tariffs as well as geopolitical issues with the supply chain. We expect to continue to align there. But there is volatility in customer build due to their pipeline inventory correction. So they've scheduled down weeks within quarter and out quarters that we've adjusted in our outlook and forecast as they modulate their production, so their inventory pipeline and what's the dealers and what's going to fleets aligns and they're not overproducing. So we have to adjust accordingly. And that's how we are able to continue to address our inventory reduction as we're changing our terms and conditions on lead times and MOQs with suppliers as well as looking at alternative sources to have shorter lead times, which is giving us an ability to reduce inventory. And also our labor planning and plant scheduling, it's been very disruptive, but we are focused both on variable and fixed. And I think that's going to give us the appropriate countermeasures to balance this uncertainty and volatility. But as you've seen these dynamics before, there does come a point of stability and recovery. And I think that we are well positioned for that time, but we're not waiting until markets recover to expand our gross margin and expand our EBITDA and cash flow. We're taking the actions accordingly, but not being very conscious, we don't damage our ability to be ready to respond. So it's a nice set of initiatives that we're balancing. I call it a set of simultaneous equations we're balancing. But so far, we're seeing positive results as we look where we were in Q4 and Q1. And our outlook for Q2, it's -- again, you'll hear more about that in our guidance or you've heard about that in our guidance, but we do expect volatility in these build rates and order rates.
Gary Prestopino: Okay. And then just in regard to tariffs, and then I have another follow-up question on the debt. With tariffs, what percentage of your COGS are going to be impacted by tariffs? And could you just explain where these inputs are coming from in terms of if you're importing stuff from China, Europe, whatever? Can you just help us out a little bit with that?
James Ray: Yes. I would say our largest exposure is on the Mexico and Canada tariffs. And we are currently -- the majority of our business right now in those -- that set of tariffs are under USMCA, which we've had some relief from. So we're -- I believe there's a 90-day pause on some of that. So we are working with customers to make sure that we're aligned with them. We have the appropriate recovery mechanisms in place. We are starting to see tariff recovery come in from customer invoices and POs on the amounts that we've experienced to date. The China tariffs are on a lower percentage of our spend, and it's primarily related to our global seating business. And we are working closely with the OEMs to make sure we have recovery mechanisms there. But also, they expect us to implement mitigating actions from the standpoint of nearshoring, onshoring and also renegotiation with suppliers to make sure that they're doing all the things that they have to do similar to our customers expecting us to do that. So there are a lot of moving pieces right now. Things still haven't settled down, but we feel like we're making momentum, both in the mitigating side and also the recovery side.
Gary Prestopino: And Andy, do you have any number of what percentage of your COGS is affected by this?
Andy Cheung: Yes. So if you think about from a cost structure standpoint, you really have to break that into the different segments, right, because they are very different. To James' point, our electrical business is mostly a manufacturing base. So what he's describing is our finished good products coming back to the U.S., right? But we believe that we will have some relief from the USMCA and our customer understand the dynamics. So we have a lot of very mature conversation already with our customers on recovering that part, right? So that you can call it everything, 100% of the products are subject to tariff exposure, but we believe that with the regulation and the customers' relief, we have that cover there. Then you look at our Trim and component business, that business has very little import components from overseas, that is mostly chemical plastic business with a little bit of components, very tiny coming from overseas. The North America [indiscernible] is the one that if you remember, we talked about we have some global platform, some metal components that come from China, but I would call it, it would still be a tiny fraction of our cost structure. I'll call it, maybe less than 10% of our cost structure is coming from China. So that's the one that we are actively working with the customer, getting a solution on the recovery. So far, a couple of our top customers have already indicated that they will be very helpful in collaborating. We're finding ways to reduce the cost while customers as well as the customer will be expected to support in terms of relief for us.
Gary Prestopino: Okay. And then just the last question revolves around debt and covenants. I mean your net leverage ratio is at 5x. What are your covenant levels?
Andy Cheung: Yes. So if you remember, we talked about back in December, we have done an amendment to allow us to – most of the amendment will allow us to calculate our covenant level, considering some of these one-time unusual costs that we incur during 2024 because of all the strategic actions and one-time footprint actions. So overall, so it’s around 4x and will gradually step down during – throughout the year. So as I mentioned in my previous remarks, right now, we are within our covenant compliance. And – but at the same time, as I previously talked about, given the majority of our – basically our debt is going to be maturing in 2027. In 2025, we already started looking for options for refinancing for our entire debt structure. So that’s what we are doing right now.
Operator: [Operator Instructions] Next question comes from the line of John Franzreb from Sidoti & Company.
John Franzreb: I'd like to go back to the topic of the revenue profile for the current year. I'm curious how April played out relative to March. Are you seeing the revenue profile decrease in line with the ACT numbers? Or is it more or less aggressive than that forecast?
James Ray: It depends. In some areas, it's in line. In some areas, it's not quite as low. So the ACT forecast primarily impacts our Global Seating and our Trim systems and components business. And depending on the customer and depending on the platform, you see a mixture of what models they're continuing to build and what models they put down weeks in, in their production, and we correspondingly do that with our plants. But we feel like that we're aligned with them with our increased interaction with their organizations on a planning and supply standpoint as well as production supply. And they've been very helpful in communicating to their supply base when they expect to have down weeks in the 12-week to 13-week outlook. So that does give us time to flex a bit. We don't exactly know when things will stabilize, and I think they're watching it closely as well. So we're just remaining flexible and agile to make the adjustments necessary. And as it relates to April versus March, we don't really see a significant shift in revenue profile. It's coming in as we expected back in the February, March time frame for April.
John Franzreb: Okay. And James, you just referenced now and you referenced in your prepared remarks about scheduled downtime. That scheduled downtime, it sounds like it's in the current quarter and then not giving you visibility beyond that. Is that a fair assessment?
James Ray: It's usually in the 10 to 12-13-week range. They have production schedules that they manage. So we have about a 2 to 3-month visibility. It becomes more firm in the 4 to 8-week range, and it becomes pretty firm in the 4-week range. So knowing what they're planning in the June and July time frame helps us prepare accordingly. And seasonally, with Class 8 truck production, a lot of the customers have model change and they already have downtime scheduled in the July period. So we've seen some adjustments made there where, in some cases, it's extended but they had originally planned to be down. So we're evaluating how we correspond our production and schedules as well as inventory build, safety stocks and those things to make sure we continue on our inventory reduction path, but also make sure that we continue our focus on on-time delivery with those customers. So it's managing a lot of fluctuation right now, but I feel like we have a somewhat of a better handle on it than we did in Q4 last year.
John Franzreb: Understood. And you said some of the cost savings initiatives you've implemented have improved the incremental decremental margin profile. Can you just remind us what that profile looks like today versus, I don't know, year-end?
Andy Cheung: Yes. So I would say, in general, again, it's different segment, you'll see different profile. But in general, look at around 20% is what we're currently seeing. Overall, you would expect once we started to see the rebound of our electrical system business, so you see a higher incremental because right now, we are also burdened by the additional fixed costs that we talked about with the 2 new plants. If you look at the Trim business, you will see a little bit more incremental there. But the Trim business, I would just like to also add a little bit with the new segments. And since you asked about the impact and what we see with the Class 8, with the new segment that you see and you actually see now the Trim segment, as we previously described, that is a North America-based Class 8, mostly end market-related business. So when you think about modeling about our revenues movements with the end market, that one has the most correlation with North America Class 8. Global Seating now with the new segment, you can see it, it's truly a global North America, Europe and APAC. So you can see even in Q1, the correlation with the end market, North America drop is a little bit less correlated now with North America, you can see the drop is less than the Trim business. And obviously, now you look at the electrical business, it's mostly follow steel construction and agriculture.
John Franzreb : Understood, Andy. And what cost-saving measures remain to be implemented in 2025?
James Ray: Our continued focus on operational and material cost outs remain our largest lever. Continued improvement in operational excellence, labor productivity, plant efficiency, supply chain optimization with lead times and MOQs as well as terms and conditions on payables with our suppliers is also an ongoing focus. So with our new COO, Scott Reed, he's building an organization and has -- we're already seeing the benefit of the functional subject matter expertise and putting in someone that's over both manufacturing operations and procurement. We have better alignment and there's also reducing some of the inefficiencies that we had previously. As we're looking at the plants more on a product segment versus the segmentation we had previously. So for example, all the seating plants in North America are now under one operational executive, and we're leveraging some of the synergies looking at it from a product and supply chain standpoint, which helps improve our cost, too. So those are the primary areas that we're focused on as well as inventory reduction to generate more cash. So it's both on the P&L side as well -- margin side as well as the cash flow side.
John Franzreb: Got it. And James, if I recall properly, in your prepared remarks, you mentioned freight costs a number of times. Can you kind of quantify how much freight costs impacted you in the first quarter, say, versus a year ago?
James Ray: I would say there was a higher impact as compared to a year ago, but we had different initiatives going on where we were doing divestitures and plant consolidations a year ago versus now it's a more stable environment. Also some of the freight dynamics from last year with potential port strikes, canal and shipping disruptions, increased container rates as well as -- in this year, we're seeing lower freight demand. So we're also seeing lower container rates and container usage. So it's looking at all those elements. And year-over-year, I don't really have the specific number, but it's -- Andy, I think it's.
Andy Cheung: So John, I think the most important message here is if you look at our Q4 and Q3 performance last year, right? So when we say that we are under a lot of operational inefficiencies because of the footprint changes and the strategic actions, a lot of that came in the form of expedited freight, right? Because when we move things around, it becomes very difficult to manage the supply chain, and we have to keep the customer production schedule on time. So what James’ prepared remarks suggested is that if you look at our 240 basis point improvement, 1/3 of that came from our stabilization of those footprint changes, and now we were able to get rid of those expedited freight. And we are not fully done yet. We still have some actions to do as we continue to optimize our inventory positions. So this is going to be – continue to be a source of our margin expansion throughout the year.
Operator: There are no further questions at this time. Turning over back to Mr. Ray for closing remarks.
James Ray : Thank you all for joining today’s call. We are remaining agile to support our customers in this dynamic environment, and we are highly focused on continuing to execute our long-term strategy. We look forward to discussing CVG’s progress next quarter. Thanks again for participating and your questions. Have a good day.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and ask that you please disconnect your lines.